Operator: Good afternoon, ladies and gentlemen. And welcome to Eni's 2014 Third Quarter Results Conference Call hosted by Massimo Mondazzi, Chief Financial Officer. For the duration of the call, you will be in a listen only mode. However, at the end of the call you have the opportunity to ask questions. I am now handing your over to your host to begin today's conference. Thank you. 
Massimo Mondazzi: Thank you very much. Good afternoon, ladies and gentlemen. And welcome to our third quarter results. Before we start today, I would like to take a moment express to Mr. de Margerie's family and to our colleagues at Total, the sorrow felt at Eni for this untimely loss. Many of us knew him personally and he would be very much missed. And now to our results. In this quarter, we begin to deploy the revised strategic plan announced in July. In particular, in upstream, we continue to record outstanding results in exploration while production in line with expectations. In gas and power, we confirm EBIT breakeven also thanks to the retroactive effects of contract negotiations in the first half of this year. In refining and marketing, we are back to profit in regarding season quarter. We also temporarily benefited from the improved refining margins while we are continuing to restructure the business in order to rebalance our refining system. The sum of all these efforts has resulted in record operating cash flow of EUR4 billion for this quarter. The standout data point on the quarter is our extraordinary cash generation. Not withstanding a weaker scenario, this has been the strongest third quarter since 2008 in terms of cash flow from operations. Thanks to the steady contribution of our profitable E&P production, the effective actions of networking capital and the result of the accelerated turnaround program. In the nine months period, cash flow from operations of EUR9.7 billion was greater than capital expenditure by around EUR1 billion. When capital will be EUR3.2 billion investment already carried out. The resulting pre cash flow entirely funded dividend payments for the full year. As current market conditions, we expect to further improve our cash generation in the last quarter, so as to target the 40% cash flow growth this year in advance versus the previous 2014-2015 average expectation. And now on to our profit and loss result. The reduction in operating profit was mainly due to scenario effects namely the falling Brent in European gas prices, which impacted the E&P performance for the tune of over EUR600 million. On the other hand, I would like to highlight a result of gas and power, and refining and marketing. The former having reduced its losses by more than two third and the latter having return to profit, thanks to the temporary supporting market environment and our optimization program. All of these confirms the value of our restructuring efforts and give us even more confidence in our announced breakeven target. The reduced contribution from E&P is the driving force behind the lower tax rate registered in the third quarter which contributed to increase net profit versus last year. As mentioned E&P was impacted the fall in prices over the quarter, and slightly lower production mainly due to unplanned maintenance. However, it was a good quarter for upstream due to the increase of our exploration resources by over 700 million BOE in the nine months period. With unit exploration cost of $1.9. This is without accounting for the recent discoveries in Indonesia and Congo. As we announced this morning, we've made yet another discovery in the Marine XII block in the Congo shallow waters through the new Minsala Marine I well. Our preliminary estimates of resources in place are of about 1 billion barrels of oil equivalent which 80% like oil. This brings the Marine XII total resources discovering in the past three years to 3.5 billion BOE. Our continuing drilling success prove the sustainability of our exploration model which hinges on the application on new geological concept in proven areas and the focus on unconventional place. Turning now to gas and power. The business reduced its operating loss by 70% versus 2013, not withstanding a continuing weakness in market fundamentals which kept reference prices at an especially depressed level. This strong result in the face of the 2013 scenario is a clear example of the benefits we have achieved by negotiating our supply contract and accelerating the turnaround. The ongoing effort to fully align supply costs to the hub reference will continue to drive our results in the coming quarters. Focusing now to R&M. In this quarter, this business benefited from a robust appreciation in margin which was up over 80% with respect to the same period of 2013. The margin effect along with the strong marketing performance during the driving season brought the business back to profit in this quarter, also thanks to the incident efficiency and restructuring program we are pushing through. However, the well plug structural headwinds the industry is facing will continue to affect our results in the foreseeable future. As far our other businesses, Versalis, though still impacted by a weak scenario, benefited from a decrease in all base fuel stock cost as well as the structural reduction in commodity capacity resulting from our optimization efforts. Furthermore, I would like to highlight the reduction of around EUR30 million of corporate cost that includes the effect of our streamlining actions, the bulk of is allocated to the profit and loss of the various businesses. And finally, the improved cash position has maintained leverage payable at 25% even after the payment of more than EUR4 billion in dividends. Though net borrowing were up by EUR0.8 billion as compared to the yearend 2013, they were counter balance by increasing net equity, also thanks to depreciation of the dollar versus euro. Assuming the current level of Brent prices and euro and dollar exchange in the fourth quarter, leverage is projected to come in slightly better than the level achieved again in 2013. Thank you for your attention. And now I will be happy to answer together with some of my colleagues any questions you might have. 
Operator: (Operator Instructions) First question comes from Mr. Theepan Jothilingam from Nomura International. Mr. Jothilingam, please. 
Theepan Jothilingam - Nomura International: Yes, hi. Good afternoon, gentlemen. A few questions, please, firstly just on the cash flow and the working capital release. Could you just talk about how that's broken down? How much of that was oil price related versus, let's say, releases elsewhere in the business? Secondly, congratulations on your exploration success in the Congo. I wanted to know could you provide a little bit more detail around the early production systems and volumes there and what you might hope to achieve over the next 12 months? And then in terms of the exploration success, both the Congo and Mozambique, could you talk about plans to sort of accelerate the value creation there through disposals?
Massimo Mondazzi: Okay. So I'll answer to the cash flow question and then maybe I leave the floor to Luca Bertelli to give you an answer about the discovery. As far as the contribution in cash flow, as far as the third quarter the EUR4 billion I mentioned is made around by two third or better EUR3 billion or out of EUR4 billion relate to the operating cash flow before working capital. And EUR1 billion is made by the contribution of working capital. The first element is very resilient has decreased versus 2013 when we appreciate a much higher oil price is just end a bit lower than that level. And as far as the working capital, I would say the major contribution was come from the makeup gas. Some disposal in stocking sales plus some I would say optimization in our over under lifting position in joint venture all over the world. And now I leave the floor to Luca to answer the question about Congo.
Luca Bertelli : So the discovery we announced this morning is quite relevant discovery. We have a thick hydrocarbon column, light oil, and we are in conventional water, 70 meter of water there and nearby existing infrastructure. So we can imagine an integrated project together with the other discoveries that we already announced last year in Congo of relevant dimension. Again the asset is shallow water close to existing infrastructure. So the time to market can be quick. Okay and as far as disposal program mainly related to exploration, you know very well that now we could consider this kind of contribution not a contribution from say portfolio activity, but we consider it a really contribution from operation due to the fact that this exploration system already is prove the continuance in time. And it's giving us opportunity to dispose off interest in excess versus a normally interest to develop such a huge discovery. I would add to remember that in Marine XII, we retained 65%, so there is ground to dispose off and anticipate cash flow, obviously at the right price as we did in Mozambique, as probably there is ground to do, for example Indonesia, so the discovery we announced in last Monday, and we setting down which retain a very high interest so even in this area there could be ground to go on with anticipated disposal.
Theepan Jothilingam - Nomura International: Could I just follow up in terms of from your answers? Just on working cap, all else being equal for next year, if the oil price is flat from here through next year, what level of working cap release would you think we should be modeling? And then secondly, just back to Mozambique, do you still see the same level of interest in terms of buying a position in Mozambique today than say 12 month ago? Thank you.
Massimo Mondazzi : I would say that around Mozambique the interest is still alive. So some players are still looking at the possibility to enter or acquire position, being interested in participating in such a huge project and integrate project as well as buying some equity gas. So it's definitely the project now is leaving exclusive period and timing which we are close to the first FID, and maybe industrial activity prevails. But again I can confirm that interest in acquiring interest in this project is still alive. And secondly, your question about working capital. It is a bit difficult in terms to give some indication out to model. What I could say that we expect that this kind of contribution we keep on in the fourth quarter 2014. And even in 2015 has been asset to sustain our overall cash contribution. 
Operator: Next question comes from Mr. Oswald Clint from Sanford Bernstein. Mr. Oswald, please. 
Oswald Clint - Sanford Bernstein: Thank you. Massimo, hi. Good afternoon. Maybe a question on gas and power, which seems to be performing well. I note in the release some comments that even in the third quarter there were also some price revisions being triggered by long term buyers. Could you just talk about that, and say what type of impact that may or may not have to your targets? And secondly, yes and maybe obvious question, but just could you give us an update on Kashagan and obviously the pipe costs and some of the numbers we've been reading about in the press? Thank you.
Massimo Mondazzi: Okay. So I leave the ground to Marco to answer your first question.
Marco Alverà: Thank you. So on gas and power, the overall target you may remember is to bring a 100% to contract in line with the hub level by 2016. And I think that target is well on track. In terms of hub indexation. We started with around 20% of our take- or- pay volume index to the hub as a consequence of the last negotiation round. We now have around 70% of our contract index to the hub. We had our agreement with Statoil in April. We had our agreement with Gazprom in July. We found temporary solution with Sonatrach that we are continuing to work on for more permanent solution by yearend. So I think our entire portfolio has now been revised on volume and on price. So that's the update on the negotiation. 
Massimo Mondazzi: Thanks. And just to complete the answer about gas and power. I would like to confirm our guidance in terms of break-even as far as 2014, and a strong cash improvement, thanks to the contribution on makeup gas again in 2014. That include this result will be achieved thanks to the retroactive effect of the negotiation closing the first half of the year. Therefore, the benefit is clear, but we would like to -- I like that also in 2015 we expect such a contribution related to the negotiation that will take place that year. And now maybe I let you over to Antonio as far as the question about Kashagan.
Antonio Vella : The material of the new pipeline is fixed to carbon steel clubbed with corrosion resistant alloy, 100% of the pipeline material already has been order. And the operator replacement plan is under finalization, is expected to be available by the end of 2014. 
Operator: Next question comes from Mr. Iain Reid from Bank of Montreal. Mr. Reid, please 
Iain Reid - Bank of Montreal: Yes. Hi, gentlemen. Thanks very much. Two questions, please. On your discoveries you've made in West Africa, I wondered if you could update us on what the further -- future drilling plan is now in these countries, specifically Angola, Gabon, and Congo. And can you tell us, are you drilling any further wildcats over the next six months or so in these countries? And second question is on Saipem, just an update, if you could, on the progress of your discussions with investment banks or whatever on the potential disposal of our interest in Saipem. I see that there have been various things in the media about some other companies being interested in your stake.
Massimo Mondazzi : Okay. So I look again to Luca to answer your first question then I'll give you the answer to the second one. 
Luca Bertelli : Good afternoon. Congo Marine XII, we plan drilling additional couple of wells next year. And both of them will be exploration wells. In the Gabon, we plan to appraise the discovery we been to first half of the year is the first half of 2015. So next starting building in February next year. And in Angola, we are still planning a couple of exploration wells in block 2015 or 2016 for the next year. 
Massimo Mondazzi: Okay. So as far as Saipem, since we made the announcement about Saipem last July, we started an in- depth analysis that is still underway. So no decision have been taken yet and you can understand I cannot disclose any further detail in these but let me take this opportunity to remind generally speaking some principles underline to the declaration we made in July. And in particular, I would like to remember that the relationship with Saipem you are talking about comprise our relationship as controlling shareholders and financing entity. And any solution, whichever would be, will cover both aspects as part of the whole design to achieve what we said at the end of July. On the other hand, definitely our target is also to leave Saipem again in this process with another great balance sheet to stay in complete comfortably on the market. So I think it is worth reminding the general principle underline to this transaction. 
Operator: Next question comes from Mr. Dario Michi from Banca Akros. Mr. Michi, please. 
Dario Michi - Banca Akros: Hi. Good afternoon, gentlemen. Thank you for taking my questions. You posted a very good cash flow from operations in both Q3 and the first nine months of 2014. This is in line with your full year guidance. How do you expect the cash flow from operations in the last quarter? And could you also detail the main components it will be made of? And the second question is still on Saipem. Sorry for that, but during the conference call Saipem stated that they were not excluding a capital increase. So when you stated that you want to leave Saipem with a sound balance sheet, does this include also the chance to have a capital increase in your view?
Massimo Mondazzi: Okay. So in term of cash flow contribution, yes, we expect a strong contribution in terms of cash flow even in the fourth quarter 2014. That's because -- that's why we are saying that we are confident that the target we gave to the market, so a 40% increase cash flow operation versus 2013 as an average of 2014-2015, now could be anticipated to 2014. Definitely, the great majority of this contribution is coming from the cash flow from operation before the working capital contribution. But again, also from the latter item, we expect some contribution specially related to the makeup gas that definitely will be higher than the one we recorded in the third quarter because of the greater volumes. And back to Saipem, so I just remember the overall principle. It said that the financing and the shareholders are one project to us and will be treated as a whole. So on this respect maybe some say request will come from the Board of Director of Saipem, maybe asking for capital increase. What I meant is that in that case this kind of proposal will be seen by us, and in the context of the overall project having clearly mind which is the final result we expect to be process. 
Operator: Next question comes from Mark Bloomfield from Deutsche Bank. Mr. Bloomfiled, please
Mark Bloomfield - Deutsche Bank: Good afternoon. Thanks for taking my question. A couple of questions on gas and power first of all. I just wondered if you can give us a sense at this stage of the potential for -- potentially for gas and power for next year. I wonder if you can perhaps -- and if you can't give us specific guidance maybe you can give us some color on the moving parts versus 2014. Also on the sticking with the gas and power, if you can clarify whether your guidance of EBIT breakeven for 2014 assumes any financial benefit from any settlement which may happen with Sonatrach. And then secondly, moving on to the Congo, 3.5 billion in place volumes. I appreciate it's very early days but perhaps you can give us a sense of what kind of production rates you think that could ultimately support, looking out towards the end of this decade. Thanks.
Massimo Mondazzi : Okay. Marco for the first answer. 
Marco Alverà: So I don't think we are here to provide guidance on 2015. Although as Massimo said, a lot of the benefits of the renegotiations achieved are enduring. Having said that, we've already started a new round of negotiations because our stated target is to bring all contracts in line with the hub level, and in case where we have logistic costs, indeed try to also go below the hub. In terms of Sonatrach. There is a not a lot of -- there is not much in the fourth quarter in terms of additional upside compare to what you see here. 
Massimo Mondazzi: Okay. And as far as the production rate in Congo, Roberto.
Roberto Marino: Yes. Well, clearly we are talking about the significant discovery as Luca said earlier in terms of volume and in terms of production; this would be the result of a phased development plan. For your information, we will be starting in a few weeks from now production from Nene, basically 15 months after discovery which is quite important and to market and will be starting with production in the range of 8,000 barrels oil per day from wells, clearly the future development will involve many wells, several platform so this will be certainly a very important contribution to the production of Congo.
Operator: Next question comes from Mr. Emmett Craig from BofA Merrill Lynch. Mr. Craig, please. 
Emmett Craig - BofA Merrill Lynch : Hi there. Thanks for taking my questions. It's a balance sheet question really. I know your gearing you've guided down year-on-year at current oil prices to quote you in your outlook which is fantastic. I just note that your previous guidance was for flat gearing year-on-year using $108 reference price. Do you think you could maybe just talk us through what the delta is to that? How much is volumes versus optimization? Because obviously oil price is -- you're going against that, which is obviously quite impressive. And then on Libya, you've ramped up volumes in Libya. Could you just maybe give us some color on how sustainable you feel that is and what your ongoing approach to investment in the country is?
Massimo Mondazzi : Okay. As far as getting the leverage, yes, I confirm that now the expectation is to have gearing slightly lower than one we experienced at the end of 2013. And I would say that broadly speaking that's a result of the work that has been done in the last month in term of I would say performing on the restructuring plan, that is been announcing detail at the end of July by Claudio. So this give us confidence that results we announced today is an achievable one and give us confidence also about what we can do in the future as the turnaround play now appear the on track or even a bit in advance versus what we thought at the end of July. And as far as Libya, yes, the current production is higher than the budget average we gave at the beginning of the year. But definitely the situation there remain very volatile, so the uncertainty now still present in that country. Nevertheless, I can confirm that since now our fields remain totally out of any kind of turbulence or any kind of crisis in country. So I would say so far so good. 
Operator: Next question comes from Mr. Lydia Rainforth from Barclays. Mr. Rainforth, please. 
Lydia Rainforth - Barclays: Thank you. And I have a few questions if I could. The first one, I'm sorry if you'd mentioned this earlier, but could I just check on how you're seeing the tax rate develop going forward? And then secondly, given where the oil price has come down to, clearly you're talking about a strong balance sheet now, but are you worried that you might not get some of the asset sales that you were planning to do in a lower oil price environment? And then finally, just on the outlook statement and you talked about CapEx being down year-on-year, that is consistent with what you said at the second quarter stage. But I don't know if incrementally you're expecting lower CapEx than you might have been three months ago. Thank you.
Massimo Mondazzi : Okay. So tax rate, yes, we reported tax rate, I would say a low tax rate in the third quarter -- looking for the reference -- we are still on tax rate of 59.4% in the third quarter of 2014, much lower than the 64.6% we experienced in 2013. The reason why we experienced a lower tax rate this quarter is related to the, I would say lower contribution in E&P that is close to the lower scenario. And the higher contribution from the Italian activity. As you know benefit a lower tax rate versus the average. Thanks to the result so far achieved, I guess that in term of guidance for the full year, the last time I mentioned number in the range of 66% that will be equal to the one we experienced in 2013, now I would say that the expectations today would be a bit less than that tax rate. And as far as the disposal program, remember, that we announced EUR11 billion disposal program. I would say that first of all a little bit less than that amount have been already achieved are well on track because you remember that around EUR2.2 billion related to the disposal of the Russian asset already done. And another EUR2 billion which come from the -- I would say as the expiration of the convertible bond in Snam and Galp, in which we retain the right to be paid to bondholders through shares. So this number I would say done. And as far as the remaining part, the remaining around EUR 6 billion in the next four years, I guess that the quality of the assets we are talking about, we've just commented about the discovery in Congo or in Mozambique. That will allow us even to putting production discovering in very few months as Roberto said about Congo and the high quality of product mainly oil -- mainly a light oil give us the full confidence that this number can be achieved. And I don't remember the third question. CapEx, yes, we confirm guidance as far as 2014 lower than the budget we announced during the starting representation last February. The number would be broadly in the range of EUR400 million less than the number we announced in February.
Operator: Next question comes from Mr. Marc Kofler from Jefferies. Mr. Kofler, please. 
Marc Kofler - Jefferies: Oh, great. Yes, thanks. Good afternoon, everyone. I just had a quick question around the buyback program there. I was hoping you could remind me of the parameters and particularly how you're thinking about repurchasing shares at the moment given the volatility in the oil market and the overall capital allocation process. Thanks.
Massimo Mondazzi : Okay, so first of all increase, but you remember that the our priority order in cash allocation is, first topic, second dividend and third buyback. And definitely as far as CapEx and dividend we release guidance. We don't want to release any guidance as far as the buyback that we would like to retain as a very flexible tool to remunerate shareholders. The ground to I would say attribute money to the buyback is based on the degree of validation in our overall turnaround plan to get away the oil price. So these are internal guideline we used to refer to in order to assess the overall amount. From now to the end of this year beginning of next year, I could say that the pace we are seeing today will remain in place, and there will be another deep talk internally on this respect will be taken, looking at the number of the new four year plan that as you know will be announced in February 2015.
Operator: Next question comes from Mr. Thomas Adolff from Credit Suisse. Mr. Thomas Adolff, please. 
Thomas Adolff - Credit Suisse: Hi. Good afternoon. Thanks for taking my questions and congrats on the drilling results. Two questions, please, one on the dividend. In a 100 buck environment, you've basically said already that your payout ratio was too high. I'm just going to state the obvious. Let's say an 80 buck environment. Obviously that looks even worse. And let's take disposals out of the equations because that may not be directly organic. How comfortable are you just with the dividend being funded purely from the balance sheet, or which you actually use a bit of CapEx to fund that? Second question on my favorite topic, which is Mozambique. I believe your neighbor in Mozambique may not mind bringing in a super major to let the whole project be developed jointly. Would you welcome this situation? And the other question I had on Mozambique is where are we on the FLNG? I believe your guidance in June was to take FID by the end of the year. My understandings from your minority partner on the block are that not even HOAs have been signed. Thank you.
Massimo Mondazzi : Okay. So I leave the ground to Roberto to answer your question about Mozambique and then I'll answer the question about dividend. So please Roberto. 
Roberto Marino: Okay. Thanks for this question. Let's start from starting resources, the one where as you mentioned, we are also discussing with area 1partners, any particular Anadarko as operator. Well, first of all, we have some positive news. As you know, the enabling law has been passed by the parliament, and this is allowing us to discuss with the government to the special legal and fiscal regime that would be applied to the development of LNG projects. Secondly, we launched the tender for the EPC contract, activities are going and I mean we are positive towards the reaching of an FID in the second half of 2015. About the plans in area 1, I can tell you that the first phase because of -- clearly is a major development that will be done through different phases. And the first phase will envision panel project of two trains, five million tons each in both area four and area 1. So we are for the first phase independent from area 1. About Coral, you mentioned that the FID was -- well, we can confirm that we started the process to reach FID. That means that this process is made of with several facts. The first one is the submission or the approval by the government of the final development scheme and this is expected in the next week. So the second one is the declaration of commerciality will be submitting in the next few days to the authorities. This declaration and again we are expecting the approval in the next few weeks, certainly by the end of this year. At that point, we will be in a position to submit also the plan of development which has been extensively discussed and basically agreed with the authorities. While we are progressing the discussion also with buyer, we have intense discussion maybe Marco can elaborate more but we have short list of buyers and at that point we will have all their conditions to make FID. By the way, I have to mention also that the engineering activity, as you know, we are running a competitive feed exercise is very well advanced with three major consortia, so also from the project point of view everything is going smoothly and well. Maybe Marco can add something more about there the LNG buyers. 
Marco Alverà: As Roberto said we are working with a number of short lists of buyers. There is a significant strategy interest in being part of this project for all its reasons of being wonderful kind and early startup. So I can confirm we are in deep discussions. 
Thomas Adolff - Credit Suisse: If I can follow up on the discussions, now obviously maybe when you started the discussions the oil price was a little bit higher and the buyers wanted to have a slightly lower slope. Now obviously the oil price is a little lower and it's a little uncertain where the oil price will end up. And for you to make the economics to work maybe as well as when the oil price was 100 bucks, from your perspective, are you pushing for a better slope?
Marco Alverà: The forward market haven't move that much. And we are talking about 2019-2020 deliveries. We are talking about relatively small volumes and the scheme of global LNG demand at that time. So I don't think we are concerned at looking at the prompt part of the curve. 
Thomas Adolff - Credit Suisse: Okay, thank you. 
Massimo Mondazzi : Okay. So as far as the dividend, Thomas, you may appreciate that third quarter conference call is not typically the place to discuss the overall dividend policy. So I would say I would like to postpone the discussion by mid February next year when will, I would say deal with in deep in this issue. I would like to remember in general terms that our dividend takes into consideration parameter such as the oil price, so the oil price that we will see for the future on that date and the progress against our strategy. So looking at each piece these I would say thought looking at the results that has been achieved so far in 2014, I would say that we are very well in time with the plan we announced mainly in the turnaround of the losing money and businesses. So on this part of the equation, as far as the result up to now, we feel quite happy. 
Operator: Next question comes from Mr. Jason Kenney from Santander. Mr. Kenney, please. 
Jason Kenney - Santander: Yes, good afternoon. If I may just go back to the Congo, is it too early to be thinking about recovery factors across the Congo asset base? I mean even a range would be useful. And the secondly, on Mexico I note the MOU that you've agreed today. I'm just wondering what or how you might participate in 2015 with some of the first stage processes there. What is of particular interest to you in Mexico, be it onshore, midstream, offshore? If you could just talk further around the subject that would be great.
Massimo Mondazzi : Well, about Congo, as I said area we have very important discovery in terms of thickness, in terms of extension, so clearly we have to properly evaluate firstly through the next appraisal well and then with the appropriate studies, the best development scheme to maximize the recovery from this important discovery. I think that also thanks to the acceleration we are giving to Nene, so we are collecting data about the productivity of the wells. So very soon we will be able to define first phase of development also for this new discovery. 
Massimo Mondazzi : So as far as Mexico, Antonio you want to take that, Luca do you want to comment? 
Luca Bertelli : I think Mexico, of course as everybody in the oil industry; we are looking at the opening of Mexico to foreign investors. We will evaluate or rather would information and after our assessment we will decide which is most attracting area for potential investment in the country. This is what I can say today. 
Operator: Next question comes from Mr. Jon Rigby from UBS. Mr. Rigby, please.
Jon Rigby - UBS: Oh, yes. Hi. Thank you for taking the questions. I think the first one's for Marco. And I think I've asked this question before but I just want to come back to it again. As we approach the winter season, and obviously we've gone through the summer negotiation season with your customers on the gas side, are there any changes either in mix or in your sales contract terms that would suggest that the margin we saw on our gas sales in the third quarter changes through the winter period, or is the third quarter performance a relatively good indicator of what you'd expect over the next, let's say, six months or so? And then, the second question I guess is for Massimo. But, is there a point during the process of considering what you do with Saipem during which you decide to stop consolidating it as a subsidiary? It's clearly somewhat sort of touch and go anyway. I know you have Board control, but you don't have 50% ownership. And I think from memory you got to a point in the process through the Snam disposal when you took the view that you wouldn't consolidate it any further. It seems to me that going forward actually it's a better snapshot of the underlying performance and financial status of the Eni Group to actually not include it within your financial statements anymore, certainly if the ultimate decision is that you exit. Thanks.
Marco Alverà:  Jon, Marco here. Thanks for your question. I think you should not extrapolate too much on Q3. Q3 has some element of retroactivity. If you look at the first nine months of the year, that is better by EUR 1.2 billion compared to the previous year, was the overall yearly guidance we are giving is a breakeven. So you can expect some deterioration as a one off retroactive element in 2013 disappears, doesn't have that much to do with movement as we --as I said now 70% of the contracts which are directly indexed to the hub, they tend to move in sync with the movement on the sales side. 
Jon Rigby - UBS: Right. And that sort of implied 4Q is a good number for 1Q as well, ex anything else happening? Is that reasonable?
Marco Alverà: We'll discuss when we disclose Q4.
Massimo Mondazzi : Okay. And, Jon, as far as the consolidation of Saipem, leaving aside for a while, I would say -- let me say the former aspect the accounting principle and focusing the discussion about the real control, I would say that looking at the process ahead of us, what we would like to do in principle is to take the control of Saipem just to drive the process. As I said before would imply the financing of the company. And then I would say start to I would say release the shares. So I mean this remind, I would say that the process should follow this priority and as we retain the majority of the Board member in Saipem, I think that we will be even formally obliged to consolidate the company. 
Jon Rigby - UBS: Right. And if you actually make an announcement that you are going to exit, could you then treat that as an asset held for sale and therefore deconsolidate it in that fashion?
Massimo Mondazzi : I don't know. It could be useful just to put the numbers on a big front prospect but I guess that since we retain a majority of the Board members, we will be obliged to, first of all, from a point of view of responsibility, Jon, we would be obliged to exercise the degree of guidance in control that retain to the majority shareholders. And then we will be anyway responsible about the -- I would say the result of Saipem as far as main shareholder could be responsible for that. 
Jon Rigby - UBS: Right. And just one follow up on that. Is there enough representation on the Board at Saipem right now for the Board, ex the Eni members, to be able to technically make decisions? Because clearly they're going to have to do that. Where they have to be independent presumably on matters of restructuring the financial relationship, your representatives will have to step out of the room. So I mean is there the technical capacity to do that on the Saipem Board, or will that need to be reconstituted or changed in some way, shape, or form do you think?
Massimo Mondazzi : It is a quite complex matter. But I would say that in principle this process will be to show and will be rollout in taking -- I would say into consideration at the different interest of both party. So the process will be a very transparent one, will be very clear one not withstanding this definitely I would say the current situation as I said will oblige us to keep at the number of Saipem consolidating to the any consolidation. 
Operator: Next question comes from Mr. Andrea Scauri from Mediobanca Securities. Mr. Scauri, please.
Andrea Scauri - Mediobanca Securities: Yes, hi. Good afternoon, all. I have a question on South Stream and your commitment in the project. If I am not wrong, you are supposed to finance the project with an investment of some EUR2 billion. Correct me if I'm wrong. Could you please provide us any details about what is the intention of the company in this investment, and if there is a possibility that Eni doesn't participate in the financing of this project in the context of the relationship with Gazprom and the Russian partner? Thank you.
Massimo Mondazzi : Marco to answer this. 
Marco Alverà: Thanks for the question. So just to recap where the number stands. We have a 20% stake in the project. And the project is assumed to be project financed by third party institutions by70%. So we have informed already Gazprom and the other shareholders that should financing happen, we would not be prepared to increase our commitment above what had previously been assumed. So just to be very clear, our plan assumed to 70% financing. There has been some speculation that the financing maybe delayed. We have informed shareholders that we are not ready to step up and substitute the financing institution. That as much as we can say at this stage. 
Operator: Next question comes from Ms Irene Himona from Societe Generale. Please. 
Irene Himona - Societe Generale: Yes, good afternoon, Massimo. It's Irene Himona at Societe Generale. And congratulations on a very good quarter. I had three quick questions, firstly refining and marketing. The last time you had a profitable quarter was about 2012 and I think on a full year basis not since 2008. So when we look at the profit you made this quarter, how much was driven by your restructuring? How much was the macro, the refining margin? And what do you anticipate for the next couple of quarters? My second question is on Kashagan very quickly. I hear what you say, that the repair plan will be submitted by yearend. Can you tell us please, under this repair plan when is it realistic for us to expect these fields to go back to production? How long does it take? Is it 2016? Is it 2018? And my final question, just going back to the oil price environment, it's obviously good news that your gearing will be a little bit lower than before. Can you tell me in a world of $80 oil or $85, do the credit agencies become nervous at all with gearing at that level, given that their gearing definition is a little bit different to yours? Thank you.
Massimo Mondazzi : Okay. I'll try to give some detail about refining and marketing. And then about the gearing and I'll leave the floor for Antonio to answer the additional question about Kashagan. So as far as the result of the third quarter about our refining and marketing business, yes, definitely as I anticipated is doing very well. The result this quarter has been positively affected by, I would say very high margin, very high in respect to what we've seen the previous part of this year. So definitely it contributed to the final result. Giving you some, I would say, additional information, I would say that the overall EUR39 million we record in third quarter in refining and marketing, it has been composed by around EUR150 million produced by the marketing part of the business and the loss of EUR110 million is the loss in refining and marketing. What we expect looking at the final part of this year, supposing that the margin will remain for the quarter in the range of $3.5 per barrel, we expect them overall lower loss from our refining and marketing because of its light contribution internal margin, but mainly I would say the result of the restructuring plan that has been launched seemed to beginning of this year. This minus EUR150 million in term of minus loss, it could be translated as an overall result in refining and marketing. So just to make the story short, we expect that by the end of this year a reduced loss in this business by EUR150 million. And now I leave the floor to Antonio to answer your question about Kashagan.
Antonio Vella : So 2016 the plan need to be confirmed by the operator. The continuation of production will be fraction of the normal production rate of 370,000 barrels per day. 
Irene Himona - Societe Generale: So what you're saying is the startup is to be confirmed? That's 2016?
Antonio Vella : Yes. It is 2016, yes.
Massimo Mondazzi : As far as balance sheet at $80, Irene. I would say it will require more detail exercise that we --I would say are going to performing the overall full year plan. So I am not in a position to give you now-- I would say a completed answer to your question. But let me say that, you know that as far as E&P, the expectation in term of cash contribution remain and would remain still high even at $80 because of the relatively low breakeven price embedded in our portfolio. You know that our exposure to conventional is extremely limited that the breakeven of our conventional portfolio is much lower than $80. At the same time, what we are seeing is the -- I would say accelerated recovery in our non E&P businesses as I just described. So I guess that the overall effect of these two component will take us into better position us to sustain even lower price. But for a full and complete exercise, I remind you maybe next February when we can deal with this issue in more complete way. 
Operator: No more questions. 
Massimo Mondazzi : Okay, thank you. Okay, thank you very much. Bye, bye. 